Operator:
Zhiheng Wang: Ladies and gentlemen, good afternoon. Hi, my name is Zhiheng Wang, the Board of Directors [indiscernible] shareholders investor analysts and friends to attend [indiscernible] for Q3 results announcement. Thank you for your long-term care and support. Today's announcement is mainly held through telephone access, also have invited some of the friends to the scene. First, I would like to introduce, the team attending these announcements. They are, Mr. Zhang Xuguang, Executive Director, Officer of Board of Directors; Mr. [indiscernible] General Management Financial Accounting Department; Deputy General Manager and Asset Liability Management Depart [indiscernible]; Deputy General Manager Person Credit Department; and [indiscernible] Deputy, General Manager, rural Revitalization Finance Department. Today's announcement will be divided in two parts. In the first part, I'll introduce the business performance in Q3. The second part is Q&A, we'll respond to the questions you care about. Now we will proceed to the Part 1. We just released the Q3 results and we'll continue to the financial operation with [indiscernible] and the net profit operating and continue to grow positive net profit, RMB 215.3 billion for the 3.6% operating income, [indiscernible] up 1.3% Y-o-Y, and net interest income, RMB 137.8 up 1% Y-o-Y. The net interest margin, 1.45%, remaining the same in H1, the [indiscernible] balance and the domestic de-balance up RMB 2.21 trillion, up 8.2% Y-o-Y. The margin and speed [indiscernible] around peers, and not done was the personal loan balance is RMB 8.75 trillion, the corporate finance, RMB 14.3 trillion, up RMB 1.54 trillion, and [indiscernible] RMB 9.73 trillion accounting for more than 40% of domestic loans. Country loans increased by RMB 956.3 billion [ph], up 10.9%, 1.7 percentage points higher than the whole bank. And here now 1.32% dropped by 0.01 percentage points. The mentioned loan 1.45%. The forecast risk indicator is stable and the provisioning coverage ratio is about 3%.
Operator: Now let's come to the Q&A session and in this session, we adopt three ways, [indiscernible] question, telephone question, [indiscernible] [Operator Instructions]. Now we may come to the first question.
Unidentified Analyst: Okay thank you. My name is [indiscernible] with [indiscernible] Securities. First Congratulations You have mentioned that the operating profit is down. So I would like to ask the trend of the profits. How about Q4 and the whole year from the previous year, we have seen that ABC has shown quite strong competitiveness. Could you please elaborate on this?
Unidentified Company Representative: Thank you for your question. Mr. [indiscernible] from the Financial Accounting Team Department will answer the question.
Unidentified Company Representative: Thank you for your question. For the first three quarters and ABC continue to improve its ability to serve the rural economy and the overall performance was astound and we have maintained the general stability of the asset quality. The main financial indicators have improved generally and net profit has increased by 3.6% and the growth fee still the peers' net interest spread 1.45% and provision coverage ratio is still above over 800%, so we have a strong cushion to defuse risk. This has made a solid foundation for this year's performance in Q4. And next year, as looking forward into Q4 and 2025, with the macro control, increment policy has shown its effects. The economic recovery will be consolidated. The market demand will continue to increase. This will create sound environment for the operation of the banks through given the LPR's continued decline and existent mortgage rate adjustments and also ABC actively yield profits to the real economy. These policies may increase the market volatility. The operating profits continued to increase, but still face a certain degree of pressure. We still think focus on the key businesses, and continue to increase the revenue and increase the quality of the assets and maintain the stability of the assets, we have strived to work hard to realize that in the whole year, we will achieve the stability of operating performance. We'll constantly optimize the structure of the asset and maintain stability of the asset increase in the first three quarters and the share of the real economy financing still increased. And in the next, we'll continue to focus on the main businesses and responsibilities improve the key areas, such as standalone area and the tech financing and will constantly serve the real economy. At the same time, we will strengthen the foundations set up by the customers and control the cost and have better pricing and so as to reduce the net interest rate volatility to note, the interest income. Second, we have increased the non-interest rate, interest income, we have narrow decline margin of the other fees and Q-on-Q compared with the Stage 1, the drop margins is narrowing with the effect of the policy is the opportunity of multi recovery or will continue to grasp the potential of the market and also keep the other noninterest income stable. We will also follow the domestic and international macro environment changes and since the sound opportunities and optimize the portfolios also increased at the noninterest income to remain, keep the asset quality stable and reduce the credit costs in the three quarters to provision coverage ratio is still high, and we still have the strong ability to reduce risks, and we will continue to strengthen the risk control and keeping the asset quality stable.
Operator: Thank you, Mr. Liu. Please welcome the friends from the telephone to ask questions and also, the question will be ordered by the time of your application. Let's connect to the first questioner. Greetings, please ask questions.
Unidentified Analyst: Okay, thank you. I'd like to ask you when it comes to the interest rate trend, we have seen recently, there are lots of interest rate adjustments in September, the mortgage rate repricing. Of course, the PBOC's press conference has mentioned that the liability of the banks can maintain our corresponding adjustment. I'd like to ask you. When it comes to the interest rate spreads. In the new policies, what is the expectation of the interest spread. What's your prediction in the net interest spread has narrowed when reaching the bottom and please ask Mr. Wang from the Assets and Liability Department to answer the question.
Unidentified Company Representative: I would like to thank you and you just raised a quite good question. Just as the Secretary of the Board mentioned in the first three quarters, the net interest spread 1.5%, as in the same with the last our H1, we have implemented the deployment of the City Central Committee, especially recently, the Central Politburo has issued relevant documents till launched anticyclical interest rate adjustment. And we have reduced the existing mortgage ratio rate and compounded by LPR decline. Our net interest spread will be maintained steadily in the asset side, we will strengthen the support to the real economy and reduce the general financing cost of the society consider the October's existing mortgage rate adjustment, the interest income will still face pressure. It is expected the assets ratio interest rates will be under pressure in terms of liability with July and October. RMB deposit rates has been reduced, and the efficacy of the policy has been relieved and the effect has result used by 90 bps, so the liability cost pressure will be released. And from the October package policies deposit loan interest rate effects will be offset each other, so it will have a limited impact on the net interest spread. Next year, when the financial sector will yield profit to the real economy, our income will under pressure let me consider the following factors: one, on the liability side, this year's 3x of the LPR reduction will promote the existing mortgage repricing, so the interest rates will be manifesting next year. The interest spread will also go down. Deposit cost pressure will be eased and deposit interest rates will continue to go down. If we consider the deposit interest rates it may offset the deposit interest decline. Thank you Ms. Wang.
Operator: Now next, please. Welcome the speaker or the questioner from the scene.
Unidentified Analyst: [Indiscernible] I'd like to ask you a question related to the asset quality. Could you please look forward to the asset quality in the future? Also from the corporate and retail and so what are the areas the most prone for the NPA?
Operator: Thank you for your question. The Credit Management Department, Mr. Wang will answer this question.
Zhiheng Wang: Thank you for your question. So I'd like to release the information on ABC's asset quality because ABC has always prioritized the prevention of the risks and keep to the bottom line of the credit risk and the asset quality has been steadily recovered. So the NPL is 1.32% and down 0.01 percentage points compared with H1. As the forward-looking default ratio has been maintained low among peers and our expected [indiscernible] margin has reflected the foundation of the assets. So among the major state-owned banks, this ratio is, we have been the only bank that has maintained the positive ratio from these indicators, ABC's asset quality is kept steadily. So looking forward, we expect that the asset quality will be stable from external factors, China's policy stabilizing expectation growth, and this has been showing its effects. And we -- our economy has been recovered. With the introduction of the package policies, it will provide a more favorable environment for us, especially the real estate market has stopped to decline and recover and also for the government debt, a package of fiscal policy support has also eased the debt pressure of the development. So externally, we have a sound policy environment internally, we always serve the real economy and constantly optimize the credit structure, accelerate the economic transformation, and we have consolidated the asset quality in terms of credit risk management we have strengthened real estate and local government risk diffusion. In terms of the credit management, we have improved digital management capacity. Our digital centers have established lots of models, and we have also collected lots of clues, and we can have the caution early warning of the risks. Therefore, the credit risk management has been forward-looking. So from the forward-looking indicators such as the [indiscernible] margin, we have maintained a sound level among peers, our asset quality reflected in NPL has been maintained a sound level. Please connect to the next questioner from the telephone side.
Operator: Okay.
Unidentified Analyst: Okay, thank you, management, for giving me such an opportunity. My name is [indiscernible]. I would like to ask you the risks currently for the general policies what are -- there are some support on the real estate assets quality. I'd like to ask you the corporate real estate core asset and what is the trend for the loan disbursement for real estate? And the Central Politburo has mentioned that we should promote recovery of the [indiscernible] other real estate market and what are there any policies for the collection and storage?
Unidentified Company Representative: So I would like to ask Mr. [indiscernible] to answer this question.
Unidentified Company Representative: Thank you for the question. For long-term, we see conscientiously implement the deployment and decision-making of the CPC Central Committee and State Council follow the comments of the regulators. And also, we have secured the policy compliance. We have adjusted our real estate and mortgage policies follow the rule of law and regulations vary, means various diversified demands of different financing entities. In terms of the asset quality, facing the downward pressure of the market, ABC has taken active steps and [indiscernible] steps adopt one policy for one player. As of September, the NPL ratio compared with the beginning of the year has been stable. Asset quality has been kept steadily. So we have sufficient provisioning to ensure that real estate risks are controllable generally. And next step, we will honestly implement Central politburo's work essence and highlighted the people orientedness [ph] and the political orientedness of the real estate policy secure the delivery of the houses and purchase the existing commercial houses for the purchasing and leasing. Actually, we actively support the real estate sound development to facilitate the stop of the declining of the real estate market and according to the commercial sustainability we were optimizing the additional real estate where we will play a more active role. Thank you.
Operator: Thank you Mr. [indiscernible]. Next, the question from the scene.
Unidentified Analyst: Thank you. My name is [indiscernible] Securities. I'd like to ask questions related to county area because in recent years, the county level -- county area contribution has been high. What is the priorities and deployment for the county areas, and we have -- the county area loan have been increasing fast and how do you control the risks? Thank you.
Operator: The rural revitalization Finance Department, Mr. [indiscernible] will answer this question.
Unidentified Company Representative: Thank you for [indiscernible] and county area businesses are the main businesses of ABC and this is where our traditional advantages lie. Just now, our speakers have introduced the county area loan situation. We have seen the contribution has been increasing. Next, we will contentiously implement the plenary session essence and match a package of incremental policy -- we use the experience of thousands of engineers and will mainly do the following work: first [indiscernible] the major opportunities of integrated urban road development and increase the supply of [indiscernible] area, focusing on the key area and weak links and implement industrial financing and the farmers and new citizen financing constantly increase the disbursement. Second, we will [indiscernible] customers diversified needs and deepen the service model innovation and cater to the new demands of the business types and categories and expand the bond and leasing and other financing needs explore the diversified and diversified financial service systems. Third, we focus on the digital technology development. According to the smart bank development, we have strengthened AI, IoT and Big Data and data technologies application in the pharma-related businesses, constantly serve the digital scenarios. And introduce more online farmers related products, optimized products, use the quality products to promote the rural areas, economic development. And fourth, will optimize and send on professional service system like on the [indiscernible] business units, architecture and strengthen the resource giving, optimize the business authorization, channel establishment so as to provide stronger guarantee and support for the [indiscernible] financial services as for the [indiscernible] area loan, which are our next focus will continue now to do well. The loan disbursement at the same time, working to the risk, we'll constantly optimize the credit policy supply, identify the priority of the disbursement, optimize the county area business, strengthen the risk control. Second, we will strengthen the farmer-related business, we will strengthen the dairy products, manufacturing and research, identified the big customers' risk control; third, we'll deepen digital risk control methods, diversify the digital risk control methods and iterate the risk monitoring models constantly improve the accuracy, the risk identification. Fourth, we will improve the long-term working mechanism using the recovery and write-offs. This is my answer, thank you.
Unidentified Company Representative: Thank you Mr. [indiscernible] for your answer. Now please connect to the next questioner from the telephone.
Unidentified Analyst: Thank you for the opportunity. My name is [indiscernible] I am from JPMorgan. And when it comes to my question related to the disbursement, the growth rate has reached 9.2%, stronger than the industry. So with the economic growth under pressure, how do you view the current credit disbursement situation? So what is -- what are the major priority areas for the credit disbursements?
Operator: Thank you for the question. Mr. [indiscernible] from the Credit Management Department will answer this question.
Unidentified Company Representative: So when it comes to the credit disbursement for ABC, it is mainly focused on three areas. First, [indiscernible] business and county area business maintained growth, by September, the balance reached RMB 9.72 trillion, accounting for 40% of the domestic loans or increments of 956.3% up 10.3% Y-o-Y in the rural vitalization development and it has maintained fast growth in the accuracy and the coverage of the county financial services have been increased, and we serve the five priorities. The support for the key areas has been increased in tech and strategic emerging industries alone, growth rate has exceeded 20%. The growth rate has reached 12.6%, Green Credit has exceeded RMB 4.9 trillion, up 895.7%, up 22.2% in inclusive finance. And the balance reached RMB 4.95 trillion. The third area is the personal loan area, it is leading the peer. It has newly added RMB 691.8 billion. The increased speed has -- was higher Y-o-Y and the margin as well as the growth speed are among the first in years. So the macro policies effect has been showing our economy has continued to be recovered. Economic transformation and transition has given us impetus and the credit need has been recovered steadily. So we will seize the opportunity to store the project to increase the disbursement efforts so as to all mainly serve the provider of the finance to the real economy. And as for the -- we'll continue to focus on the whole supply chain of the financing and tap potential and needs of the county area maintain the fast growth of the loans in county area. We'll serve the five priorities, serve the upgradation and transition, accelerate the green and low carbon transition and match two areas credit needs so as to increase the financing for the key projects and engineering. Second, we will increase our efforts of the coordinated white list or the financing, we'll use the refinancing and securing the delivery of houses to [indiscernible]. The fourth will facilitate well-being improvement and matching using the old instruments and to replace the new objects to keep the leading advantage of the retail business. Fifth, we'll implement the policies should support the real economy and continue to support SMEs and constantly strengthen the inclusive finance services. And these are our efforts, the credit demand will continue to recover steadily. Thank you.
Operator: Thank you for your answer. Next speaker from the scene. Next questioner, please?
Unidentified Analyst: I care about the investment issue because -- so my question, can you please introduce the strategies for the investment and can you please look forward to the investment return?
Unidentified Company Representative: So [indiscernible] will answer this question.
Unidentified Company Representative: Thank you for the question. Since the start of this year, the bond market investment has been in decline and 10-year bond market has dropped by 40 bps compared with the start of the year. As for the bond investment, we conscientiously implement the central financial work conference and Central Economic Work Conference and third plenary recession centers. And we maintain pursuing steady growth. So we'll constantly give [indiscernible] of these SLEs in the bond divestment has three features, we have lost the market trend according to the asset allocation strategies. We have also considered needs of investment and we have also seized the opportunity of the high interest rate up bond. Second, we coordinated the categories and duration and account structure of the bonds and coordinated comprehensive yield requirements. We have been increasing our investment in the bond in the tax-free bonds, the real and local economic growth. The third picture goes like this. We still actually serve the economic development strategies and serve five priorities. We actively support modernized system, strategic emerging industry and financing support the rural revitalization inclusive finance development. ABC has comprehensively considered the asset liability structure and the need to serve the real economy, we have also adjusted our duration, generally, which is higher than market average. In the downward pressure, investment in return has been sound from the whole year, the return has been sound, which is higher than the market average. Thank you.
Unidentified Company Representative: Thank you, Ms. [indiscernible] for your answer. Please connect the questioner on the telephone.
Unidentified Analyst: Greetings. I would like to ask you the consumption loans. Our content has increased a lot of policies. I would like to ask you for the financial loan and consumption what have the trends of these loans? Are there any increases of the NPL ratio and how do you control and manage the relevant risks? Thank you
Unidentified Company Representative: Mr. Joe will answer this question.
Unidentified Company Representative: Thank you for your questioning. ABC attached great importance to the development of the personal and credit business especially this year, we have implemented the policy deployment of our country to boost the consumption by, as of September, personal loan and personal loan balance, RMB 800.75 trillion [ph] up 8.5%. For the five years in a row, the gross margin speeds have been leading among peers in the consumption loan. We actively respond to our country's strategies and support the car utilities to using the old optics to replace the new objects by the end of September. The personal consumption loan registered RMB 1.62 trillion, up RMB 666.8 billion, maintaining first in terms of the margin. We have disbursed RMB 84.48 trillion [ph]. We have nearly disbursed the interest rates that is an 18 bps lower than the H1. We faced lots of commercial and industrial users constantly optimize [indiscernible] e-loan increased our financing to the [indiscernible] frame and wholesale and retail industry. As of September, personal operation loan balance up RMB 68.6 billion. Cumulatively, we have dispensed of RMB 258 million newly disbursed rate ratio of 2.55%. Just now Mr. Wang has mentioned the asset quality situation. I would like to add some of the personal loan situation by as of September, the NPL ratio percentage ratio of 0.88%. Asset quality is leading the [indiscernible], the personal consumption that still 1.32%. So from the perspective of the future development trend, our business department's judgment has been -- was the same with the credit department. The asset quality is generally controllable. And we will do the prevention control of the personal loan and for cost. First, we uphold the business development and the risk control integration so the risk provision control has been incorporated into the adjustments, strengthen the risk control as a source or will also pay great attention to the risk control of before lending and also will prevent the illegal agents. We have established the personal credit model monitoring committee, we have also iterated models, so as to identify and dispose of the risks at an early time and also if the risk cannot be diffused, we'll stop the specialty business. And also, we have improved the before lending tools to ensure the real mortgage and the field investigation. Also refuse to cooperate with the illegal agents. Third, we uphold the service driving and the tech fund driving we have innovated the management model before lending, in lending, and after lending and in the personal management loan, we have introduced the external data also. In this assumption, we have introduced the Florence data, so currently, the effects have been sound. Fourth, we established the normalized risk management. We have utilized asset securitization methods and so on and we have adopted multiple channels to diffuse the existing risks. This is my answer. Thank you.
Operator: Thank you, Mr. Joe. The next questioner from the scene.
Juan Shen: Thank you, management. My name is Juan Shen from Huatai Securities. I'd like to ask a question related to the deposits we have seen in the past one year or two years, the deposit has met serious conditions, but in the Q3, the market has undergone great changes. I'd like to ask you for the loan trend, so what is your judgment and analysis in the future? Also for the citizens deposits, also I would like to ask you because in the past two years, there has been adjustment of the listed interest rate, so what is -- what is the effect of the repricing of the liability side? What is the reason of the repricing and what is the effect on the liability side on ABC?
Unidentified Company Representative: So Asset and Liability Management Department, Ms. Wang will answer the question.
Unidentified Company Representative: Thank you for the question. I would like to answer this question. In the recent years, the financial environment has been complex both on the growth and the resident and [indiscernible]. The companies favor the stable deposits, especially the time deposits. The time deposit has been up rising in recent years. This has increased the pressure of the net interest spread but at the same time, with the share of the time deposit increasing has increased the liability, made the liability stable. So ABC's trend is in line with the whole industry. The time deposit has currently as our economy continues to be consolidated to recover facilitating consumption, domestic demand policies have been strengthened, especially in recent years, a package of incremental policy have been introduced. The market expectation has been changed gradually, which will facilitate the willingness of consumption the deposit we'll continue to consolidate at the base of the savers and will enhance our capacity of their customer segmentation facilitate the demand deposit to turn to the time deposit constantly optimize the deposit structure. When it comes to the interest rate reduction according to the deposit adjustment mechanism, you can refer to 10-year yield bonds, bond yield and considering your own conditions adjust the deposit interest situation. Our banks have two times reduced the deposit rates. Next, given the market condition as well as the strategies of our peers, optimize the deposit pricing strategies, consolidate the service of the real economy.
Unidentified Analyst: Thank you, Ms. Wang for the answer. Because time is limited we will answer the last question. In October 23, we announced the notice soliciting questions from the investors, they focus on the capital and dividend payout country plan to increase the Tier 1 core capital for the six banks and what is the latest trend of ABC? And also you will dilute the dividend per share, will it increase the dividend payout ratio in the future?
Unidentified Company Representative: Mr. [Indiscernible] will answer this question now.
Unidentified Company Representative: Thank you for your caring and support of the ABC, also thank you for the question. When it comes to the capital remuneration according to the arrangement of the shareholders, we facilitate the capital supplement, and we actively communicate on this issue and discuss the core capital supplementation. ABC has considered the requirements of the shareholders. We have maintained a relatively high dividend payout ratio, which has been maintained at 30% or over 30%. We have cumulatively paid dividend of RMB 815.2 billion from the share interest rates according to 2023. Asia and H share, share dividend payout ratio is about 4.8% and 6.9% and the same management in H1 announcement as said we attach great importance to the dividend payout. And before the spring festival, we'll complete the distribution of the dividend so that the shareholders may get the dividend. When it comes to the refinance influence on the dividend payout, indeed, in the short-term, you dilute the dividend per share will adopt a package of measures to meet the gap of the dilution with the policies effects being released we will provide more long-term and also abundant dividend payout. We wish you can continue to again support ABC.
Unidentified Company Representative: Ladies and gentlemen, Agricultural Bank of China 2024 Q3 results announcement comes to an end. I would like to thank the investors, shareholders and analysts for your long-term and continued support and care. Also I'd like to thank the colleagues of our team for your interpretation and sharing. If you have any questions in the future, welcome you to contact with our team. This announced the end of this results announcement. Thank you. See you.